Operator: Greetings, and welcome to CCC Intelligent Solutions Third Quarter 2021 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Brian Denyeau from ICR.
Brian Denyeau: Good afternoon, and thank you for joining us today to review CCC's third quarter 2021 financial results, which we announced in our press release issued after the close of the market today. Joining me on the call are Githesh Ramamurthy, CCC's Chairman and CEO; and Brian Herb, CCC's CFO. The forward-looking statements we make today on the company's results and plans are subject to risks and uncertainties that could cause the actual results and the implementation of the company's plans to vary materially. These risks are discussed in our earnings release as available on our Investor Relations website under the heading Risk Factors and the definitive proxy statement prospectus followed by Dragoneer Growth Opportunities Corp. with the SEC on July 6, 2021. Further, these comments and the Q&A that follows are copyrighted today by CCC Intelligent Solutions Holdings, Inc. Any recording, retransmission, reproduction or other use of the same, for profit or otherwise, without prior consent of CCC is prohibited in the violation of United States copyright and other laws. Additionally,  while we have approved the publishing of a transcript of this call by a third party, we take no responsibility for inaccuracies that may appear in that transcript. Please note that the discussion on today's call includes certain non-GAAP financial measures as defined by the SEC. The company believes these non-GAAP financial measures provide useful information to management and investors regarding certain financial and business trends relating to the company's financial condition and results of operations. A reconciliation of GAAP to non-GAAP measures is available in our earnings release that is available on our Investor Relations website. Thank you. And now I'll turn it over to Githesh.
Githesh Ramamurthy: Thanks, Brian, and thanks to all of you for joining us today. I'm pleased to report that CCC delivered terrific top and bottom line results in the third quarter. I'd like to start by summarizing our financial results. Revenue was $176.6 million, up 18% adjusted for divestiture last year. This was ahead of our guidance and the fifth consecutive quarter of accelerated growth. Adjusted EBITDA was $70.1 million. which represents a 40% margin, up nearly 400 basis points from the third quarter of 2020. This was ahead of our guidance, but higher than we wanted due to some favorable timing impacts related to the ramp of investment in some of our growth initiatives. We plan to continue to invest in our future growth opportunities and the power of our business model allows us to do that while generating high levels of profitability. Overall, our business is performing well and is benefiting from 3 positive trends coming together that are driving demand for our solutions. The first is our CCC cloud platform and the growing demand for this flexible and scalable deployment model. Second is the powerful network effects we are able to create by delivering value to each of the participants across the entire P&C insurance economy. The third is our expanding set of AI solutions that leverage more than the $1 trillion of historical data on our platform. The combination of these 3 trends allows us to innovate and deploy new capabilities relatively quickly and increase sales. The trend towards digitization, the P&C insurance economy is still in its early stages, providing CCC plenty of opportunity to continue delivering strong growth and profitability going forward. I'd like to spend a few minutes reviewing some of the key highlights from the quarter. First, I'll start by reviewing how our customers are adopting new innovations. Our cross-sell strategy delivered great results in the quarter. In recent years, we have significantly expanded the breadth and depth of our cloud-based product portfolio, which is now providing additional avenues for growth across the business. In Q3, we continue to see new business activity trend positively. Many of our customers expanded their use of CCC solutions this quarter. For example, a top 5 insurer who has been a CCC customer for more than 25 years, meaningfully expanded the range of solutions they deployed from CCC as part of a multiyear renewal. In this latest transaction, they'll be rolling out additional solutions, including several of our mobile and traditional solutions. We believe these additional solutions will further enhance customer satisfaction and drive greater efficiency across their claims management workflows. This increase in the number of CCC products they have deployed will then nearly double our revenue from this customer since 2019 when this latest expansion is fully rolled out. It's important to note that even with this significant product expansion, this customer has not yet deployed many products within our AI suite. We also signed long-term renewals with 2 other notable insurers, each of which added new solutions, including a suite of CCC smart solutions that embeds AI into their workflows to drive efficiencies. In the repair facility market,  we signed a renewal with one of the country's largest multi-store operators, or MSO. As part of this multiyear agreement, this customer increased its annual revenue commitment to CCC for the next several years and has rolled out our Engage solution across all of their repair facilities. Each of these examples demonstrate the growing number of ways we create value for our clients. This, in turn, powers our growth model that combines best-in-class retention rates with increased adoption of our product innovations over time. Whether it's new AI capabilities, mobile solutions, or applications that seamlessly connect network partners to existing workflows, we have a significant runway for growth with almost every customer we serve and significant opportunity to accelerate their digital transformation objectives.  With each of these renewals, we expanded the customer's annual revenue commitment to CCC as they broaden the number of solutions they utilize from our platform. We are pleased our customers continue to select additional solutions from us and believe there are still terrific growth opportunities with each of our customers. This leads into the second area I want to highlight, which is our product innovation. We have built an innovation personalization with a passion for solving the most challenging business problems facing our customers. Coupled with the deep trust we have developed, in many cases, over the course of decades, we have great insight into how to prioritize our product development efforts and confidence there will be market demand. We believe we have built the most comprehensive cloud platform in the industry and it is a foundation that enables us to quickly bring to market additional solutions that expand our market and increase the potential size of our relationship with customers. I would like to provide an update on some of the early feedback on a few of our newer solutions. We are seeing exciting success with our Estimate-STP or straight through processing solution that we released earlier this year. We have received fantastic early feedback from customers and prospects including a recent article I participated for in the Wall Street Journal where the President of USA's P&C division noted that with Estimate-STP, USAA can now provide its first wholly touchless claims offering to its members, a long-standing goal, especially as the storied institution reaches 100 years of service next year. Estimate-STP is designed to provide an end-to-end solution that fully digitizes the estimating process for qualified repairable claims and shortens the estimating process from days to seconds. It links our network of insurers, repair facilities, automakers, parts suppliers and other service providers to deliver a highly personalized digital experience to our customers' policyholders.  At the heart of this capability are a range of sophisticated AI algorithms we have developed using $1 trillion of historical claims data as well as 1 billion photos to accurately assess damage, identify which parts need to be repaired or replaced and what is or is not covered by the owner's insurance policy. A second success factor has been the deep integrations we have built over the years from the CCC cloud to our customers' systems and workflows. This has been instrumental to deployment and implementation. Four national carriers, including USAA, have deployed Estimate-STP and are actively processing estimates for those claims in a low to no touch manner. The business improvement these carriers are realizing are striking and represent an orders of magnitude improvement. These customers are now able to provide line level estimates from photos and automatically initiate and populate detailed and actionable estimates in seconds. Almost 80% of all vehicle incidents result in a repair. At the same time, these repairs are getting more complex as vehicle sophistication grows. On top of this, the industry is being impacted by a significant shortage of qualified workers. So the need for speed and efficiency of Estimate-STP has never been greater. Another area where we are generating good traction is with our diagnostic solution, which provides prepared facilities an easy and effective way to integrate their diagnostics and calibration partners into their operational and financial workflow. Repair facilities need to properly analyze the increasing sophisticated systems in today's vehicles to assess what needs to be fixed as part of their repair process. Additionally, they need to build in standard operating procedures. CCC diagnostics greatly simplifies the process by importing the Diagnostics report and provider invoice, which greatly improves efficiency and creates a better experience for the repair facility, including process compliance and revenue recognition. We are in the early stages with diagnostics, but are seeing strong early adoption with around 5% of our repair facilities currently deployed, including 2 of the top multi-store operators using the solution. We also recently released the first iteration of CCC payments, which enables B2B payments through our integration with invoice pay, a payment processing partner. This is an important first step in the rollout of our payment solution, and our early conversations with customers reinforce our belief in the long-term opportunity in payments and the significant value that CCC payments can deliver. We remain confident in the growth potential for payments and are on track with this rollout. As a reminder, this is an important long-term opportunity for CCC but it will not be a material revenue contributor in 2022. Our focus next year is to refine the product and begin to scale customer adoption. The third area I would like to provide an update on is how we continue to expand our network. We believe we have developed the most comprehensive platform in the market that generates tremendous amounts of data that allows us to extend our reach to emerging areas of the market. This allows us to offer our solutions to a broader array of customers from financial institutions to OEMs and rental fleet providers, among others. An emerging area for CCC is the OEM channel. During the quarter, we added a key domestic OEM as the newest OEM customer and expanded our existing relationships with 2 other OEMs. We now have 13 of the top 15 OEMs as customers on our platform. In August, Toyota announced the launch of its collision assistance app, which is built with CCC's technology and is available within the Toyota and Lexus owners' apps and provides step-by-step instructions on how to navigate the post-collision repair process. We believe this is a great example of the opportunity in the OEM space and the value of the connectivity our platform provides to participants across the auto insurance economy. Another exciting example is our recent announcement with Sedgwick, the leading provider of high-quality auto and heavy equipment appraisal solutions, with a network of more than 1,000 independent appraisers. Sedgwick signed a multiyear agreement to deploy CCC's mobile and AI claim solutions to power its auto appraisal offering and related workflows from first notice of loss all the way to resolution. We launched our total lost care letter pilot program, which is designed to digitize and automate the total loss process from lender payoff requests to letters of guarantee and the entire resolution. We have multiple top 5 carriers, piloting our lean release solutions, and we have some of the largest auto lenders integrated into the platform. These are just a few examples. In prior earnings calls,  we have also discussed signing agreements with large fleet providers or emerging tech-enabled companies like Buckle that are focused on gig economy drivers. What all of these examples show is our ability to leverage our platform to generate more value for the P&C insurance economy and create potential future growth opportunities for CCC. We pride ourselves in taking a long-term view of the market and identify how the needs of our customers will evolve. We plan to continue to make meaningful investments in additional solutions that will deepen our relationships with current customers and make CCC an attractive partner for prospects outside of our traditional insurer and repair facility markets. I would like to wrap up by saying how excited we are about how well the business is performing. We are ahead of both our growth and profitability targets and are again raising our guidance for the year. Market interest in digitization and adopting cloud-based technologies has never been greater in the P&C insurance economy, providing a favorable spending environment for our solutions. And we are thrilled with the pace of product innovation and the quality of the customer feedback we are receiving, which gives us great confidence in their future growth potential. Now I'd like to turn over the call to Brian, after which we'll be happy to take your questions.
Brian Herb: Thanks, Githesh, and thanks all for joining us today. Today, I'll review our third quarter '21 results and provide guidance for the fourth quarter and full year of 2021. Total revenue for the third quarter was $176.6 million, up 18% from the prior year period on an adjusted basis. We look at growth on an adjusted basis, which excludes from our 2020 revenue a portion of our casualty product line, clinical professional services that was divested at the end of last year. We believe this provides the best view into the underlying growth of the business, so our quarterly performance can be looked at on a like-for-like basis. From a trend perspective, 18% growth is the fifth sequential quarter of accelerating year-over-year revenue growth. Our growth is being primarily driven by cross-sell and upsell into our installed client base across our product portfolio, including the adoption of newer digital solutions, profitably solid growth from new logos, largely within the repair facilities and parts supplier customer segment. While we do continue to see some increases from plain transactional recovery, it is a relatively small impact on the quarter and volume recovery remains on track to contribute approximately 1% of total growth for the full year. Turning now to our key metrics. Software gross dollar retention or GDR, captures the amount of revenue retained from our client base compared to the prior year period. In Q3 '21, it was 98%, which is consistent with our historical levels. We believe our software GDR reflects the value we provide our customers and the stickiness of the network effect. Software GDR is a core tenet of our predictable and resilient revenue model. Software net dollar retention, or NDR, captures the amount of cross-sell and upsell from our existing customers compared to the prior year pit as well as volume movement within our APD client base. In Q3 '21, software NDR was 113%. Similar to last quarter, software NDR was above our historical range. A few factors underpinning this performance, including the large renewals Githesh referenced, which had significant cross-sell and upsell components. We also saw strong adoptions of new solutions like Engage, mobile, AI across our installed client base. And transactional volumes had about 1 point of impact, a combination of COVID recovery and some impact from hurricane activity at the end of the quarter. Software NDR is a key driver of our growth given that the majority of our subscription revenue comes from our existing customer base. Now to review the income statement in more detail. As a reminder, unless otherwise noted, all metrics are non-GAAP. We've provided a reconciliation of GAAP to non-GAAP financials in our press release. Adjusted gross profit in the quarter was $138.4 million with gross profit margin of 78% compared to a gross profit margin of 76% in the third quarter of last year. Gross profit margin was notably strong in the quarter and reflects the increased economies of scale and the relatively fixed and semi-fixed cost base within cost of revenue. Turning to our operating expenses. Non-GAAP operating expenses were $71 million for the quarter, up 14% compared to a year ago. Expense growth was somewhat slower than we anticipated due to hiring being lower in the quarter, coupled with lower discretionary costs like travel due to the ongoing effects of COVID. We expect to continue to hire aggressively within our core investment areas, and expect to see sequential step-up of growth in operating expenses going forward. Adjusted EBITDA for the quarter was $70.1 million, which is a 40% adjusted EBITDA margin. Adjusted EBITDA grew 31% year-over-year. This performance reflects the revenue outperformance and the lower spending levels that I just outlined. While we performed well on EBITDA in '21, which highlights the strength of the business model, we do remain very focused on investing for future growth. We remain confident in our long-term margin objectives that we've outlined. However, we do not expect margin to remain at the 40% level in the upcoming quarters. Turning now to the balance sheet and cash flow. We ended the quarter with $160.5 million in cash and cash equivalents and $800 million of debt. At the end of the quarter, our net leverage was approximately 2.6x. During the quarter, we successfully completed the refinancing of our existing secured credit facility with a new $800 million senior secured term loan and a $250 million revolving credit facility. This also reduced our effective interest rate from 4% to 3%. This further strengthened our balance sheet and together with the proceeds from our business combination transaction, we have reduced leverage by more than 50% in annual cash interest payments, more than $40 million compared to run rate prior to the business combination and the refinancing of debt. Free cash flow for the quarter was $25 million compared to $32 million in the prior year. Cash flow in the prior year did include a onetime benefit related to a tax refund associated with the federal COVID relief program. Looking at cash flow on an unlevered basis. Year-to-date, we converted approximately 61% of adjusted EBITDA and into unlevered free cash flow.  Now I'd like to finish with guidance beginning in the fourth quarter. We expect total revenue of $182 million to $184 million for the quarter. This represents 17% year-over-year growth on an adjusted revenue basis at the midpoint. We expect adjusted EBITDA between $69 million to $71 million for the quarter, which represents a 38% adjusted EBITDA margin at the midpoint. For the full year '21, we are raising our outlook for the year. We are now expecting revenue between $683 million to $685 million or 14% year-over-year growth on an adjusted revenue basis at the midpoint. We now expect adjusted EBITDA between $255 million to $257 million, which represents 37% adjusted EBITDA margin at the midpoint. To wrap up a few final points to consider. We are experiencing strong underlying momentum across the business, and it performed well year-to-date. This quarter performance highlights the combination of growth, both revenue and profitability within our business model. Our innovation engine continues to generate value-add solutions that our customers are adopting to address their business goals and drive efficiencies as they continue to focus on their digital journeys. And finally, we believe we are well positioned to continue to deliver significant value to both our customers and their shareholders over time. With that, operator, we are now ready to take some questions. Thank you.
Operator: [Operator Instructions] Our first question comes from Bhavan Suri with William Blair.
Bhavan Suri: Congrats on a really, really solid quarter. Nice job there, Githesh, Brian and the team. I guess I want to touch a little bit about the AI module. You've seen really nice adoption of the AI module really around the carrier shops streamlining the repair process. Obviously, this drives a lot of value, but I'd love to understand sort of what is the feedback been? And more importantly, sort of as you think about the iteration, what percentage of your customer base, both on the insurance side and the repair shop sides have adopted the module or planning to adopt the modules in the next 12 months?
Githesh Ramamurthy: Bhavan, good to have you on the call. I'll start with the second part of your question. The answer to the second part of your question is very, very, very few. In other words, as we outlined, we just have 4 carriers starting to use the solution. We also have announced Estimate-STP, which is our AI solution for the collision repairers and extremely early in its adoption. So I kind of want to start with that. Now we've had other solutions where we've had AI assisting the ability to write an estimate. We call that smart estimate. What we announced with Estimate-STP is a very fundamental breakthrough that is literally something we've been working on for years, and we're like super excited to have this done. So what this does is it allows a consumer to take photos, first of all, consumer calls to the carrier and the carrier sends a link through CCC. Our AI guides the photo-taking process and then uploads the photo. So the claims that are eligible. So there's a fairly large number of sophisticated rules, to which claims can go through this, which cannot go through this. And then we literally have an authoring engine, which is built in our AI that offers a line level estimate in seconds and that can be routed so that -- it creates a touchless experience. I don't know if you saw The Wall Street Journal article, where the President of USAA, he said, look, this is the first time they've been able to do a whole -- a complete touchless point. Does that answer your question?
Bhavan Suri: It does. It does. I guess the follow-up, right? And then I'll turn it over to the next person. But when you think about the challenges carriers and repair facilities face, right? With the complexity around a number of your parts and especially as you move to electric, the number of sensors and all of this is just -- while there's a bunch of complexity in what's happening here. I guess I'd love for you to talk a little bit about how the platform benefits from hyperlocal data that then streamline that claims life cycle and minimize the claims leakage, like figuring out exactly what parts, which facilities, inventory, there's a bigger network effect here, especially in hyperlocal data. And I love it -- for you to talk about some of the 3- to 5-year trajectory as we get more complex with more electric, more electromagnetic, fluid dynamics, et cetera.
Githesh Ramamurthy: I would say very specifically, there are really 3 very fundamental things that we think will drive this. So the first, I would say, is the sheer number of amount of complexity in the parts. So what might have been a bumper a few years ago, but I've had 15 parts. Now the same bumper is made up of 30 parts. So the average car is over 20,000 parts. So the complexity of how you take apart the car, how do you repair the car. So there's a massive amount of inherent vehicle complexity. So that's one aspect of it. And so if you're a collision repairer or an adjuster, you may never have seen this particular repair combination in front of you. So as you look at the permutations and combinations, this particular vehicle, in this geography, this type of accident you may never have seen. So you need -- so AI assisting that complexity is extraordinarily important. Second, exactly as you pointed out, given the breadth of our scale and the fact that we process a massive amount of claims in every ZIP code, every CBSA, the hyperlocal data becomes extraordinarily important. That means local part prices, local labor rates, all kinds of other local data become extremely important as a second factor into it.  I'd say third, what we are seeing across the board and why customers are super excited about this is this produces tremendous efficiencies for them and also, everyone's got a huge shortage of labor, right? These are complex repairs and hiring technicians and people who can deal with this complexity is huge. And so we're seeing the third element also come in. And exactly as you said, the second point I was mentioning, EVs, ADAS sensors, there's all kinds of things continue to add complexity and cost.
Operator: Our next question comes from Jackson Ader with JPMorgan.
Jackson Ader: The first question is on Engage. The big repair facility that is rolling out or I guess maybe has rolled out Engage to every single location. I'm curious what the implementation looks like for that? Is it all in one shot? We're seeing some other software implementations, these things kind of go in waves. So I'm curious what the Engage rollout looks like when someone adopts it across their entire...
Githesh Ramamurthy: Yes. We can typically get a large -- even a large MSO with lots of locations across the country. Start to finish, we can get this done in 90 days. Again, part of the reason is our platform at the repair facilities is fundamentally cloud-based. So there is no hardware to add. There's no local software to install. None of these things come in. And since this is all deployed over the cloud, Engage also allows insurers, the policyholders, to schedule an appointment. So we have the production schedules of the collision repair facilities in our cloud. So when a consumer says, I need to schedule a collision repair, they can go directly into to the cloud and drop that appointment on the calendar of the repair facility. So we can -- so the rollouts are generally pretty straightforward and inside the quarter.
Jackson Ader: Okay. Awesome. That's great. And then so a big step in payments, right? It's kind of a first step, that's great. Can you just remind us what -- if we're thinking about the payments stack -- where are the biggest pain points? Like who is dying to have their pain integrated into the capabilities right now so that they could be paid faster.
Githesh Ramamurthy: Sure, sure. So again, exactly as we said, we said in the second half of '21, we were going to have stand up our payments platform, which we did exactly that. We stood up our payments platform with our partners. We did some of the integration, we got the platform up and running. What we're doing now is working with insurers on some very specific use cases. And those use cases involve how do I pay certain types of repair facilities? How do I pay the banks that hold my lien? There are opportunities inside medical claims that we process. At the same time, we also have early versions of our payment solutions working for the repair facilities, where they can get payments from the consumers for deductibles and the like. So we are working with early customers on specific use cases. And that's really what we're trying to do is to get those use cases defined, get them piloted, get them tested, refine the product. And this is frankly why we've been able to deliver a substantial net promoter score is that mindset of just focus on getting it right on those pain points.
Jackson Ader: That made some sense.
Operator: Our next question comes from Gary Prestopino with Barrington Research.
Gary Prestopino: Brian, did you give what the organic growth in the logo breakdown was in the quarter? Or are you going to give that? Or can you give that?
Brian Herb: Yes, happy to, Gary. So we posted 18% on an adjusted revenue basis. So within that 18%, 5% of the growth was from new logos. And that's largely driven from repair facilities and our parts suppliers. And then our software NDR, as I mentioned, was 113%, representing cross-sell and upsell across the base. So if you think about 13% from cross-sell, upsell, and then 5% from new logos, that gets you the 18% adjusted revenue for the quarter.
Gary Prestopino: Okay. That's great. And then Githesh, last quarter, you kind of gave some statistics about the amount of claims that were processed through mobile, it was about 20%. Did that change materially in Q3? Or did it move the needle upwards a little bit?
Githesh Ramamurthy: Yes, it ticked up a little bit because we are starting to see -- it went up a couple of percentage points. But what is really interesting is that these mobile claims are also the key funnel into our AI platform, right? So you have to think about it in that context as well. So sequence-wise, over 2, 3 years ago as we implemented mobile for almost 100 carriers and as well as for repair facilities, it became very important as a channel for funneling claims through the AI as well.
Gary Prestopino: Okay. And then lastly, with some of these new AI products that you have out there, especially with electric cars or even cars that have ADAS, how do you handle anything having to do with calibration and even diagnostic on a collision repair. Do they take into account what may need to be calibrated -- so you're fixing the bumper, but there's something you have to do to get the calibration back to where it was?
Githesh Ramamurthy: Yes. In fact, Gary, what we're seeing is I would say that this is exactly why we offered our diagnostics solution. So the CCC diagnostic solutions allows you to actually take the scan from a vehicle, integrate that into CCC [ one ]. And that's been really important. I'll give you a couple of statistics. If you look at Q1 of 2017, Q1 of 2017, roughly 3% of all vehicles were going through a diagnostic scan. That means that you run the scan, it tells you one module set issues, whether it's airbag deployed or other things that need to be calibrated. [ Admits ] of the diagnostics for the vehicle told you that. In Q3 of 2021, that number was 47% of all cars at a stand. So it's essentially over the course of -- from Q1 of 2017 to Q3 of 2021, you're going from 3% to 47%. And I think as the earlier question Bhavan asked, as complexity increases, we see the scans will increase. This is why we're investing in our diagnostics capability. And as I mentioned, we have a couple of repair facilities and MSOs already starting to roll out our diagnostics capability.
Operator: Our next question is from Kirk Materne with Evercore ISI.
S. Kirk Materne: Githesh, on the sort of AI-powered estimation platform. I was just kind of curious how quickly can an existing customer get that embedded into their technology stack and get up and running with it. I was just trying to get a sense on -- is there any friction involved either from a technology, maybe some legacy technology stacks or even just from a business process perspective. I was just kind of curious about sort of -- I guess it gets down like the time to value for your customers.
Githesh Ramamurthy: Sure. So let me start with what we've done over the last 15 or 20 years to answer this question. So first and foremost, we have built very deep integrations, real-time integrations between our cloud, the CCC cloud and each of our carrier customers. So that real-time we're integrated deep into their systems with data going back and forth. Obviously, with a tremendous amounts of security. So we built those interfaces. So when a client then adopts our AI solution, they're actually running on our side of the integration. So the link being sent to the policyholder is going directly from the CCC cloud to the consumer, consumers sending the data back. Our AI models are running on our cloud. We're producing the estimate. And then what goes through the pipe back to the carrier is the same types we have already built for the last 10 or 15 years. So that is exactly why having all of these integrations built over the last 15 or 20 years really speeds the adoption of this capability. Otherwise, you'll have this massive multi 1-, 2-, 3-year integration efforts to get it up and running. It also allows customers to pilot and test this very quickly. Does that answer your question?
S. Kirk Materne: Yes, that's super helpful. And Brian, maybe one for you. Obviously, a really nice expansion quarter for you all. Obviously, it would seem that the renewal process would be an obvious point for you all to start talking about expansion, both cross and upsell with your clients. Is there any lumpiness to your renewal base, meaning, I realize you probably interacted with comments all the time, but I was just kind of curious if we should understand if there's any seasonality we should be aware of either considering the fourth quarter or spread out or if there's multiyear deals if that influences that opportunity at all?
Brian Herb: Yes. Most of our carrier clients are on multiyear deals, and there's not really a seasonal that drives the renewals. They're spread out across the year. So there's no real lumpiness with that renewal. We have really good renewal rates, right, with the gross dollar retention of 98%. And so we're very confident in our ongoing ability to renew. And I think the other important point that Githesh covered in his opening remarks is there was material expansion with the renewals, which we see as a core part of the growth opportunity in front of us as well.
Operator: Our next question comes from Chris Moore with CJS Securities.
Christopher Moore: Yes, first is maybe just a follow-up on a prior question regarding the mobile penetration. So it was an interesting comment that kind of mobile is the funnel to AI. If the mobile penetration is in the low 20s now. Do you target that? I mean is there a 2- to 3-year kind of goal of mobile getting to 50% penetration? I'm just kind of trying to understand that the kind of chicken and egg there and what that mobile penetration could look like in a couple of years?
Githesh Ramamurthy: Sure, Chris. Good to have you on the call. What I gave you was an average number across our customer base. So we have some customers as high as 70% mobile adoption, 70%, 75% mobile adoption. We have some customers in the 1% or 2% mobile adoption, and you will certainly see that this will continue to happen. So mobile is an accelerator for AI, but it is not a precondition. Does that help?
Christopher Moore: Yes, that helps for sure. Yes.
Githesh Ramamurthy: It will continue to move because it produces -- the mobile channel produces a very high degree of customer satisfaction for consumers who want to be dealt with in a digital way. And our mobile capabilities also work for collision repairs and especially with social distancing and all of the other benefits mobile is able to provide, including off hours by the way.
Christopher Moore: Got it. Maybe just 1 more on the numbers. So gross margin -- adjusted gross margin 78.4%, obviously, very high. Brian talked about economies of scale. Were there other things in there? I mean, I'm assuming that this level is not going to -- we won't stay at this level, even with volumes being up there. Is there anything else we should think about on the gross margin side?
Brian Herb: Yes. Chris, yes. So when we've talked about the guidance and setting up kind of long-term targets, we talked about gross margin getting to 80% over time. And it will fluctuate quarter-to-quarter a bit. The strong margin this quarter clearly highlights the power of the operating model and the leverage that we have against the cost base. The quarter did benefit from the strength and the scale of the 18% revenue growth. It had some impact by the hiring that we talked about being slightly lower. But as I said, it will also fluctuate quarter-to-quarter as well. But we do feel really good on the long-term guide as we think about moving towards 80% over time.
Operator: Our next question comes from Yitchuin Wong with Citi.
Yitchuin Wong: Githesh, first, I want to go to -- you talked about the growing trend in CCC cloud usage, and we've definitely been seeing very strong cloud usage among CSP providers and many of cloud consumption model out there. Can you give us more colors on the growth that you're seeing, kind of what percentage on user customer base are used in the cloud and then kind of help us quantify the progress of CCC cloud and the opportunity going forward?
Githesh Ramamurthy: Sure. I want to actually rewind the clock a little bit, Yitchuin, because we've been a cloud-based platform for well over a decade. In fact, we put all our repair facilities on a cloud platform and roll them out nationally over 10 years ago. Every single insurer is on our cloud-based platform going back 10, if not 15 years, our parts providers. So for us, we are a cloud-first company and have been a cloud-first company for well over a decade. So this is why we don't report any metrics that say, while so many percent are cloud, so many percent are not cloud because we are completely have been and are a cloud-based platform. Does that answer the question?
Yitchuin Wong: Yes. I guess more around your cloud growth or cloud usage among cross trend that you see among the -- among your customer base, like how is that trending? Has there been more cloud usage or it's more around quarter-on-quarter?
Githesh Ramamurthy: I see. You're saying about the customers themselves for other applications outside of CCC. Is that what you mean?
Yitchuin Wong: Yes.
Githesh Ramamurthy: Yes. Okay. Because all of CCC applications for well over a decade, have been cloud-based. So we are completely cloud. So I would say for carriers, I would say it's a relatively slow adoption of moving their own internal platforms to the cloud. There are some people who are starting to move some components of it. Most carriers still, for the most part, are running on-prem systems, which is where we integrate from our cloud to theirs. So I would say that will take several years, probably, I would say somewhere between, I would say, probably it's hard to put a precise percentage. But for the most part, the cloud transition is happening, and we think it will go at a fairly slow pace. And this is why our customers like our solution because what we're able to do is to give them the benefit of the cloud immediately because when you connect the pipe from our customer systems to our systems, they essentially become cloud-enabled instantly and have been for many, many years.
Yitchuin Wong: That's good. And then next, Brian, you mentioned your OpEx growth being lower than expected because of lower hiring. And I'm just looking over some of the non-GAAP OpEx calculation, it looks like R&D expenses is down and might be calculating slightly off. So I'm just wondering where do you see the most challenge in your hiring trends? Is it more an engineering focus or more salesperson? And finally, where is the biggest focus for you guys in terms of hiring?
Brian Herb: Yes. So the comment around hiring being lower than we had planned is broad-based. That said, the biggest focus area for our hiring is in our R&D and engineering teams as we focus on our strategic initiatives. So that's where we will see the biggest growth both going forward is around R&D, engineering, focus on building and driving innovation for new solutions coming out. So that will be the focus of the growth across as we go forward across the company.
Operator: Thank you. Ladies and gentlemen, we have reached the end of the question-and-answer session. I would like to turn the call back to Githesh Ramamurthy for any closing remarks.
Githesh Ramamurthy: Thanks, everybody, for joining in. As you probably heard from us, we're super excited about where we are. We have a fantastic base of customers. We're excited about the innovations we're working on, and continue to see a substantial number of opportunities to digitize the P&C insurance economy. Thank you for joining us on the call today.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you very much for your participation, and have a great day.